Operator: Good day, everyone and welcome to the Global Partners Third Quarter 2020 Financial Results Conference Call. Today’s call is being recorded. There will be an opportunity for questions at the end of the call. At this time all participants are in a listen-only mode. [Operator Instructions] With us from Global Partners are President and Chief Executive Officer, Mr. Eric Slifka; Chief Financial Officer, Ms. Daphne Foster; Chief Operating Officer, Mr. Mark Romaine; and Executive Vice President and General Counsel, Mr. Edward Faneuil. At this time, I would like to turn the call over to Mr. Faneuil for opening remarks. Please go ahead, sir.
Edward Faneuil: Good morning, everyone. Thank you for joining us today. Before we begin, let me remind everyone that this morning we will be making forward-looking statements within the meaning of federal securities laws. These statements may include, but are not limited to projections, beliefs, goals, estimates concerning the future financial and operational performance of Global Partners. Forward-looking statements are based on assumptions regarding market conditions such as the crude oil market, business cycles, demand for petroleum products, including gasoline and gasoline blendstocks and renewable fuels, utilization of assets and facilities, weather, credit markets, demand for c-store offerings, the regulatory and permitting environment and the forward product pricing curve, which could influence quarterly financial results. These statements involve significant risks and uncertainties, some of which are beyond the Partnership’s control, including without limitation, the impact and duration of the COVID-19 pandemic, uncertainty around the timing of an economic recovery in the United States, which will impact the demand for the products we sell and the services we provide. Uncertainty around the impact of COVID-19 to our counterparties and our customers and their corresponding ability to perform their obligations and/or utilize the products we sell and/or services we provide. Uncertainty around the impact and duration of federal state and municipal regulations and directors related to the COVID-19 and assumptions that could cause actual results to differ materially from the Partnership’s historical experience and present expectations or projections. We believe these assumptions are reasonable given currently available information and our assessment of historical trends. Because our assumptions and future performance are subject to a wide range of business risks and uncertainties, we can provide no assurance that actual performance will fall within any guidance ranges, if provided. In addition, such performance is subject to risk factors, including, but not limited to those described in our filings with the Securities and Exchange Commission. Global Partners undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements that maybe made during today’s conference call. With Regulation FD in effect, it is our policy that any material comments concerning future results of operations will be communicated through news releases, publicly announced conference calls or other means that will constitute public disclosure for the purposes of Regulation FD. Now, please allow me to turn the call over to our President and Chief Executive Officer, Mr. Eric Slifka.
Eric Slifka: Thank you, Edward. Global continues to perform well, executing on market opportunities associated with COVID-19. Our vertically integrated portfolio of supply, terminaling, storage and retail assets are part of the essential infrastructure, necessary to power everyday life, as we continue to deliver goods and services to people, communities and businesses across the markets we serve. I use the term essential infrastructure because much of our volume is consumed as a basic everyday need. Families are home now more than ever and we provide the fuel that warms this increasing demand. We also power commercial, industrial and government customers, including federal state and local fleets, utilities, first responders and others whose vehicles are on the road every day. In addition, our network of convenience stores has become critical markets for those wishing to stay close to home and secure their basic goods in a smaller setting. We have adapted to ensure we have the products to meet these customers' needs. Our strong network and adaptability enable us to take advantage of opportunities in the market to grow our business organically and through acquisitions. To that point, the M&A pipeline is very active and we continue to evaluate opportunities with the potential to expand our geographic footprint complement our service offerings and drive profitability and growth. We continue to prioritize the safety of our employees, guests, customers and suppliers. Our office-based employees successfully transitioned to a remote work environment with no disruption to our business. All of our gas stations, C-stores and fuel terminals are open and fully operational.  Turning to recent highlights. Last week, the Board of Directors of our general partner increased the quarterly cash distribution on our common units to $0.50 per unit or $2 on an annualized basis. The distribution will be paid on November 13th to unitholders of record as of the close of business on November 9th.  On our Q2 call, we discussed the signing of a long-term contract with a leading downstream energy company to throughput renewable diesel at our rail and waterborne terminal on the West Coast. I'm pleased to announce that the first shipments of renewable diesel are expected to come through the terminal this quarter. This business is a natural extension of our years of expertise in through putting, sourcing and distributing renewable fuels and our commitment to providing a bridge to low-carbon fuels. We continue to increase our flexibility to move renewable fuels to serve growing demand and doing so at scale. For example, we continue to introduce modifications to our terminal infrastructure to increase the ability to supply renewables.  Before turning it over to Daphne, I want to note the appointment of Robert Owens as the newest member of our Board. Bob was elected in October served as President and Chief Executive Officer of Sunoco LP from 2012 until his retirement in 2017. He brings to the Board more than 40 years of entrepreneurialism, innovation and success in leading and growing energy sector businesses and we look forward to benefiting from his perspective.  With that now let me turn the call over to Daphne for her financial review. Daphne?
Daphne Foster: Thank you, Eric and good morning everyone. Echoing Eric's comments, we've performed well both financially and operationally while navigating in this unique environment. We continue to manage costs and to leverage the efficiencies or vertically integrated terminal, distribution, supply and retail network to generate strong performance.  As we go through the numbers for Q3, keep in mind that net income, EBITDA and distributable cash flow in last year's third quarter included a $13.1 million loss on the early extinguishment of debt related to the repurchase in July 2019 of our 6.25% senior notes due 2022. Looking at our results net income for the third quarter of 2020 was $18.2 million compared with $15.1 million in the same period of 2019. Adjusted EBITDA was $65.9 million in the third quarter of 2020 versus $66.1 million in the year earlier period. DCF was $31.3 million in the third quarter of 2020 compared with $30.4 million in the same period of 2019. Trailing 12-month distribution coverage at the end of the third quarter was 2.4 times after factoring in distributions to the preferred unitholders that coverage was 2.3 times. Volume in the quarter declined 236 million gallons to 1.4 billion gallons from 1.6 billion in the same period of 2019 with decreases across all segments. Wholesale segment volume was up 16% or 158 million gallons due to a decline in gasoline and gasoline blendstocks partially offset by an increase in crude oil and other oils and related products.  Volume in the GDSO segment declined 11% or 47 million gallons primarily reflecting a decline in automobiles travel largely due to the impact of COVID-19. Volume in our commercial segment declined 18% or 31 million gallons primarily due to declines in gasoline and bunker fuel largely due to the impact of COVID-19. Turning to our segment margins. GDSO product margin was down $9.8 million to $158.9 million reflecting lower fuel volume and reduced C-store activity due to COVID-19 partly offset by higher fuel margins. The gasoline distribution contribution to GDSO product margin decreased $6.2 million to $101.4 million in the third quarter, reflecting the 11% decline in volume, offset in part by an increase of $0.015 per gallon in fuel margin to $0.269 per gallon from $25.4 million -- $0.254 per gallon in the third quarter of 2019. The $0.254 per gallon margin in last year's third quarter was positively impacted by declining wholesale gasoline prices. Station operations product margin, which includes convenience store sales, sundries and rental income, declined $3.6 million to $57.5 million, primarily due to less traffic at our C-stores. At the end of the quarter, our GDSO portfolio consisted of 1,542 sites, comprised of 278 company-operated stores, 272 commissioned agents, 209 lessee dealers and 783 contract dealers. Looking at the Wholesale segment, third quarter 2020 product margin decreased $6.6 million to $27.6 million, primarily reflecting less favorable market conditions than in Q3 2019. Gasoline and gasoline blendstocks product margin decreased $3.9 million to $16.3 million. Crude oil product margin increased $290,000. Product margin from other oils and related products was down $3 million to $14 million, primarily in residual fuels. Commercial segment product margin declined $4.4 million to $2.8 million, primarily due to a decrease in bunkering activity. Turning to expenses. Operating expenses were down $5.6 million to $82.2 million in the third quarter of 2020 due to lower expenses at our GDSO sites. This decrease reflected in part lower credit card fees due to the reduction in volume and price, lower salary expense due primarily to reduced store hours and lower maintenance and repair expenses. SG&A expenses were down $2.1 million to $43.2 million in the third quarter, primarily due to a decrease in accrued incentive comp. Interest expense of $19.9 million in the quarter was down $2.2 million year-over-year due to lower average balances on our credit facilities and lower interest rates. CapEx in the third quarter was approximately $17.9 million consisting of $12 million of maintenance CapEx and $5.9 million of expansion CapEx, primarily related to our gas station business. Through the first nine months of 2020, we have invested $24.8 million in maintenance CapEx and $14.8 million in expansion Capex. For full year 2020, as we work to catch up with the pause we imposed on discretionary expenditures earlier in the year, we continue to project maintenance CapEx of approximately $45 million to $55 million and expansion CapEx excluding acquisitions of approximately $30 million to $40 million. The majority of these investments were late primarily to our gasoline station and convenience store business. Turning to the balance sheet leverage which is defined in our credit agreement as funded debt-to-EBITDA was approximately 3.2 times at the end of the third quarter. We continue to have ample excess capacity under our credit facility. As of September 30, 2020, total borrowings outstanding under the credit agreement were $348.1 million, including $160.1 million under our $770 million working capital revolving credit facility and $188 million outstanding on our $400 million revolving credit facility. In October, we completed the sale of our previously announced private offering of $350 million in aggregate principal amount of 6.875% senior unsecured notes due 2029. The net proceeds from the offering were used to fund the redemption of the $300 million 7% senior notes due 2023 and to repay a portion of borrowings outstanding under our credit agreement. In the fourth quarter of 2020, we expect this redemption will result in a loss of approximately $7.2 million from the early extinguishment of debt associated with the call premium, as well as the write-off of remaining unamortized deferred financing fees. Before I turn the call back to Eric, I want to let you know that in the coming weeks, we will be meeting with investors at the RBC Midstream and Energy Infrastructure Conference, the Wells Fargo Virtual Midstream and Utility Symposium and the BofA Securities Leveraged Finance Conference. If you're participating we look forward to the opportunity to meet with you at the events. Eric?
Eric Slifka: Thanks Daphne. In summary, our 2020 performance remains largely dependent on the extent duration of COVID-19. While we continue to see our integrated business model and diversified product portfolio as long-term strategic assets for the partnership, ongoing uncertainty about the economic effects of COVID-19 continue to limit our near-term visibility. With that now, Daphne and I will be happy to take your questions. Operator? Operator, are you there?
Operator: Yes, I’m sorry. Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Selman Akyol with Stifel. Please proceed with your question.
Unidentified Analyst: Hey, good morning. This is Tim [ph] on for Selman. I know you guys mentioned the M&A market was starting to be a little active. Just wondering, if you could talk broadly about any opportunities you're currently seeing?
Eric Slifka: Yeah. I mean this is Eric. What I would say is, obviously, I can't get into anything specific. But I would say very broadly what we like about the -- let's -- we'll talk specifically about the retail business is it's very broadly-owned. There's a lot of smaller operators that are out there, family-run businesses, generational in some form. And there seems to just be a lot of activity in terms of people considering either selling their businesses, changing their operations, doing things differently than they have in the past. And so when we say active that's really how we describe it. I would also say there continues to be I'd say a lot of activity not just around M&A, but also around the ideas and concepts of renewables. And I'm not exactly sure where that ultimately takes the company, but I do believe it's an opportunity, because it's new, it's different and there's a lot of interest and activity around moving, producing and delivering those kinds of barrels. So ultimately I'm not sure the exact role that will play there. But I can tell you we are trying to make sure that we're involved in opportunities that would fit the company.
Unidentified Analyst: Got it. That was very helpful. And then just one last one for me, so just wondering how gasoline sales at your retail sides have trended for the month of October. Just wondering if you're seeing a little increase over 3Q, or if it's been just pulling up? Just curious on your thoughts there?
Eric Slifka: Mark, Daph, do you guys want to handle that?
Daphne Foster: Sure. I'm happy to. I think for the third quarter and I think into the fourth quarter meaning October, it's really been hanging at mid double-digit percentages down year-over-year. Haven't seen much change to date, and certainly what we saw in the third quarter and have continued to see, although now view on the future is that margins continue to be helpful to offset some of that shortfall in volume?
Eric Slifka: Tim, it's Eric I can say the market feels a little soft, right? So -- and if you went -- you look month-to-month there were times where you had month-to-month increases in demand, right? And it feels, like it's sort of just soft and heading a little bit in the other direction, right?
Unidentified Analyst: Got it. That's super helpful. That will be it for me guys. Thanks for the time.
Eric Slifka: Thanks, Tim.
Operator: [Operator Instructions] There are no further questions at this time. I would like to turn the call back to Eric Slifka for any closing comments.
Eric Slifka: Thank you for joining us this morning. With Thanksgiving fast approaching and the social limitations of COVID-19 still very much with us, this will undoubtedly be unique holiday season. On behalf of everyone at Global, we hope that you will stay safe, healthy and bridge a physical distance with family and friends by keeping in touch as much as possible. We look forward to keeping you updated on our progress. Thank you.
Operator: That concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.